Operator: 
Lorival Nogueira Luz: 
Operator: 
Lorival Nogueira Luz:   We'll continue to do with these investments so that we can serve our pets with the same level of quality that we've always had when serving our human clients. So we'll continue to innovate and meet the demands of our customers, as both human and animal. Also importantly, balance is always number three in dry food for pets, which goes to show that our strategy was very much appropriate in all of our distribution and sales channels for pet food. Now, a little bit more about our 2030 vision and the investments we've been making. We've moved -- made headway in value-added pork with new products and we've grown increasingly more in both consumption and sales of our products. We've also made headway in ready-made dishes. We've expanded our platform with the  new line, and a host of new products also in keeping with our ready deals -- ready meals strategy. And we've also continued to invest heavily in digital transformation, both within the company, within the business, within our sales channels, be digital and go digital, all of which were critical in terms of investments.  Now, I'd like to take some time to talk about our omni -channel strategy. We've opened over 7 new stores last year so that our customers have access to all our products in a single point-of-sale. That can bring more convenience to our services combined with Mercado em Casa. Now, Mercato Sadia, together with Mercato em Casa in other platforms showed new advances. We had partnerships with Magalu and . And as we talked about this, the platform we are now running tests on with the first orders, and has been doing terrifically well. That's something we've worked on over the course of January. We already have customers being served by . We have invoiced them, we have delivered products to them, which gives us very, very great prospects. Prospects that are bright in terms of increasing our customer base. In Brazil, we have about 290,000 active customers, and what we expect is to make headway in our base of active customers with over 300,000 active customers, and also Increase the intensity and the frequency of these orders, as well as the number of items per order. So that's something we are moving forward on, and this year, the platform will be rolled out to other areas to reach the entire Brazilian territory with this, which is doing very well. And all of that has been done without leaving our ESG commitments aside. We have kept our net zero commitment, we have advanced in actions with the BRF Institute, we kept our positioning with  and B3, and we are the first margarine to offset a 100% of the packaging in Brazil through recycling. These are actions that are present throughout the whole company. All of the initiatives, or whenever we make a new investment or we implement a new action, ESG is part of our assessment. This is in the score card of all of the executives and this is important and relevant in all the decisions we make at our company. Now, moving on to the last part of my presentation, I'd like to share with you a bit about our leverage in recent quarters and our cash position. So now, we took the freedom of creating this pro forma with simulations that Include the follow-on results that we completed in the first quarter. With this follow-on offering, our cash position would reach BRL16 billion, BRLs. So with great liquidity, we will be able to face the year of 2021, with increased expenses and higher interest rates, and continue advancing, moving on, and making investments, to adjust our industry with the digital platforms Omni channel and all of the investments we've been making in our aligns to meet the demands of our consumers and to adjust the consumption profile of those consumers. Now, if you look at the chart on the left-hand side, leverage. This is pro - forma incorporating our follow-on offering. We would be at 17 times which is quite appropriate for the market conditions in our industry.  And there's a number -- I mean, the company reported a similar number before 2016, so it's been some time, and the company has been -- was actually, operating with higher leverage numbers. Now, our net debt is below BRL12 billion now. And why is that important? With a significant increase that we've been seeing of the interest rates in Brazil, the SELIC rate in Brazil, and prospects of real interest of around 6% according to projections. This cash reinforcement will greatly benefit us by reducing our financial costs and expenses. And this is extremely important in a year like this. With such reduction, we're going to save in terms of interests and financial expenses. And those savings can be invested in our businesses, in the adjustments of our lines, in improving the performance of our lines, and in innovating in new products. That was an extremely correct decision in my point-of-view to have this follow-on offering at this point. This is going to bring us many benefits, and a better capital structure, in order to serve the demands and face the challenges of 2022. And when I talk about challenges, it is paramount to make clear what these challenges are in why we have made changes for 2022. If we look at the prospects and this is the focus survey data.  So previous prospects for Brazil showed an IPCA forecasted for 2022, which was double what was forecasted a year ago. A GDP growth that was much smaller for 2022, they were first forecasting 2.5% and now they are around 0.33% GDP growth. So inflation increases interest rates at around 10%, small growth and a much higher  rate at around 11.5%. The forecast in the beginning of 2021 was around 4.5%, so this is a completely different scenario, and the challenge can be seen in many other indicators that Turkish line, global freight. The increase in Greens, inflation of costs throughout different areas of our company. And of course, we need to monitor risks regarding protectionist measures and possible sanctions that may be put in place around the globe, not only because of the events in Ukraine and Russia, but other events happening around the world. So this is a challenging year. The month of January has already proven to be very challenging. Considering what we got last year, the month of January started with a sales volume that was already a bit below our projections. So we now have a challenge to adjust in order to go back on track. And the scenario we currently have is of low growth, high inflation, and a reduction in the purchasing power of our consumers. Consumers will feel that impact in their pockets, and in their purchasing power, that is happening in many different sectors, including ours. But we have the capacity, the agility, and the flexibility, to adjust because we have the most affordable proteins, like poultry and pork. And we have the versatility and flexibility to adjust our portfolio to meet the current demand. So in spite of the month of January that started with that challenge because of the current situation; we have the agility, the flexibility, and the capacity to go back on track throughout the rest of the year.  And why is that? Because we have plenty of opportunities. And I want to close by telling you that yes, we have challenges, but we also have many opportunities throughout 2022. With a reinforcement of our capital structure, there's no question that we're going to save in our financial expenses, which will enable us to advance in our strategy, and in improving our growth performance. We are also moving on in our geographical footprint with new agreements and our portfolio keeps on growing. We're launching value added products that are increasingly having positive participation in our product mix. And now the digital movements are also going to be felt in 2022.  This is a major investment we've made in also expanding our customer base with the best that's also going to be made in 2022.So I want to close now by telling you that we're very confident and certain that the decisions that have been made were correct, so that our company can move on and continue with our strategy, so that we can capture benefits throughout the year in spite of this more adverse economic scenario that we're currently facing. So thank you once again for joining us today. And as we usually do we will make our QR code available, so that you can test it and make the most of our Mercato em Casa with a 30% discount available for you up until next Saturday. Enjoy it. So now I will close my part of the presentation and we can move on to our conversation session. We're going to have our executives now available to answer all of your questions. Thank you once again.
Operator:  Thank you, Mr. Lorival Luz for your presentation. We're now going to start our questions and answers session. But before that, we're going to share the tutorial video once again giving you further information about how this is going to happen. As you saw in the tutorial video, you can send us your questions in writing. In the transmission screen at the lower bar, you can find the question box and you can write there and send your question to us. Or you can call 5511 4968 8974 and send us your questions -- your audio question. Okay, let's now start our Q&A session for the fourth quarter 2021 BRF 's Earnings Conference Call. I would like to invite Mr. Lorival Luz, the global CEO of BRF back on stage in our executives team on the screen. The questions will be first sent to Mr. Lorival for him to give us some background information and then forward the question to the executive of the area. The first question is by Isabella Simonato, from Bank of America. Isabella, you have the floor.
Isabella Simonato:  Thank you. Good morning, everyone. Good morning, Lorival. I have two questions. The first one, about Brazil. I think, it would be interesting if you could tell us a bit more about this year, in context, which seems to be a bit more challenging. Can you tell us about the categories or channels that are performing better, or also give us some more flavor in terms of the consumer behavior right now, and the changes you are seeing? So that's the first question.  The second question about the external market. We see that Asia is feeling a lot of pressure, but we have direct exports and Halal. So for 2022, can you give us further information about what you see in each one of the markets, China and the Middle East? Can you please give us some further information about volume and prices in those regions? Thank you very much.
Lorival Nogueira Luz:  Thank you Isabella for your question. That was a very relevant question, both the domestic and the external market are facing different challenges and different scenarios. So let me give you some information and then I'll give the floor to Sidney, Micheli and Edgar, so that they can add to my answer. In Brazil, you know the results of the retail market in recent quarters and the scenario is definitely challenging. The year-end scenario already presented us with challenges. But we had a celebration campaign that was quite positive below what we would like it to be, but it was still positive and that brought impacts for the first quarter of 2022, and more specifically, the month of January. When you see our customers selling last with higher stock. Of course, there will be an impact in the industry in the month of January because they need to adjust their stock levels. They're inventory levels, and then, there will be a reduction in their purchasing from us. But that's one of the scenarios that we can see this first quarter, as very challenging and very complex. That's going to require us to adapt, to adjust, to be flexible and versatile, in order to incorporate all of these effects. And also the different demand that we might have considering that the corporation might have a smaller revenue. We cannot ignore what's happening in the market with higher inflation rates, higher interest rates, and lower growth. So these are scenarios of the company must adapt to it, because that will impact all of our consumers in different regions and different social classes. That's a fact that will require us to adapt. Now, about the prospects regarding the external market, you said it well, Isabella. While we do have a very challenging scenario in China, I agree with you. There is a volume and a demand in China, that we do not expect to grow. But actually to stabilize. But we have extremely positive expectations for the whole Halal market, with the increased demand that we can see in the food service market, in , in business, leisure, tourism, with events that is happening in the region, with the World Cup in Qatar this year, in addition to new licenses that we're getting right now. So we have a very positive expectation regarding Mexico as well. You can see the current price of chicken breast in the U.S. that's going up, and as a result, the countries that exported to them might have a demand that we can address. And therefore, sell to those markets. Likewise, I'm also optimistic about the UK. So I think it's all a matter of balancing out to those demands, and it's really important to diversify our products and our footprint in order to reach that balance. I don't know if may be Sidney, Micheli or Edgar would like to add to my answer.
Sidney Rogerio Manzaro:  Yes. Good morning, Isabella. Thank you for your question. Let me just add and give you a few other perspectives about categories and channel. We are working with what we call an hourglass effect. On the one hand, there's no question that the macroeconomics and the income will have an impact on our business. But it's also important to highlight that the food market has proven to be very resilient. Now, when we look at the proteins, we noticed that indeed poultry and pork have been growing and they have reached historical levels in the market share in Brazil. Both poultry and pork have increased their market share in Brazilian plates, Brazilian dishes. Now, the hourglass effect, yes, on the one hand, you have this growing demand for more affordable products, but on the other hand, you also have a growing demand for more convenient products. And that makes the consumption at home to gain space. So I'm not necessarily comparing this to the other products in supermarkets, but comparing to the price of restaurant dishes or take out dishes in which you can have a better comparison with good flavor, high-quality, at a more affordable price. So yes, there is a higher demand for more affordable products. But we also have a growing demand for more convenient high quality products. So that's an important effect. Now, a little bit about channels. What we can clearly see is that the food service is recovering significantly in our business with the consumption outside the homes. Going back to previous levels. We have seen this growth then it feels away from home compared to the last two years. Retail has been feeling this aspect of the sales fluctuations, but the fact that that's happening there doesn't mean that there is a generalize drop in sales because we have different performances in different categories. So overall, in Brazil, we have a concern with dropping levels of income. But there is a great opportunity for companies that have brands like ours, that reflect consumer trust. When there is a lack of money, consumers don't want to take a , they will go and choose the brands that they prefer. So brand preference is really important here. Now, our ability to innovate is also very important. And the swine or pork segments we launched 17 SKU's, ready meals 16 SKUs, so brands and the ability to adapt to the new scenarios are very important factors. That's probably a great explanation of the resilience of our products in spite of the adverse scenario. Hello, Isabella. I just wanted to talk a little bit about the Halal market. I think there are a couple of very simple points we can go over. First of all, when you look at our performance in the Halal market, you see that there's an increase in crisis admittedly. There's really this brand that's pushing our performance and one second point I will mention is, we have a very resilient business. And that is really making a huge difference for us, so that performance is likely to continue moving on in 2022. Okay. Thank you. Isabella just wanted to add to what Lorival talked. I think China is actually important and it's important to acknowledge that in 2021 we saw a substantial upturn in our domestic output, which grew virtually 45%. Obviously, that's had its reverberations on our results, and that combined with an upturn in sales, and the fact that China has a zero tolerance policy with COVID, which affected their rebound in general. So in the first half of the year, we believe these conditions will remain unchanged. But starting in May, when our focus will really be to boost growth and progress.  We believe, that in the second half of the year the conditions we face will be slightly more favorable. If we look at imports of pork last year, we have seen a decrease in about 30%. So we believe that is a reasonable basis for comparison when we look at 2022. Also adding to what Lorival said about other opportunities always referring to pork products. We also believe we will have opportunities in other places around the world such as Russia, over the course of 2022. That obviously will be very significant in order for us to balance out our accounts.
Operator:  Next question comes from Mr. Thiago Duarte from BTG Pactual. Mr. Duarte?
Thiago Duarte:  Good morning. I hope you can hear me well. I'd like to go back to the discussion about the Brazilian market from two different perspectives. First of all, in the last two years, you were able to reach a very significant level of pass - throughs. I wanted to hear from you whether you understand that some more pressured consumer and the lower demand at the beginning of the year, will that translate into a trend for the rest of the year? And will it be more restrained, or is there room to adjust your margins which remain pressured or at least remained below, when you compare 2021 to 2020? And my second question would be, when we look at warehousing levels, which would point to your production of both pork and poultry. We also saw a downturn since last year, even with cooperatives, I think the pressured margins were true for the industry at large. And I wanted to hear from you whether you see that trend that way as well. And is there some sort of recovery in the company, in the industries margins over the course of the year on the horizon? And also, you've consistently shared about the consistency of your brand. And I wanted to hear how that 45% preference that we see between Saudi and , how does that compare with your market share levels. Your -- I know you're not sharing your market share levels again, but I wanted to understand whether your preference levels are performing better or outperforming your market share levels or not? Thank you.
Lorival Nogueira Luz:  Well, thank you, Thiago, and I'd like to apologize and ask my colleagues to be shorter in our answers because we have a long list of analysts who have questions for us, so we are a bit short in time. So, trying to answer your question in a very short way. With regard to the room for recovery in Brazil, it's very challenging because again, consumers purchasing power has shrunk. But we have to look at it in a comparative way. The point is, what other options do consumers have? So just as our price went up, the prices of our competitors have also gone up. But we have what we call the entry proteins and as Sidney mentioned, sales of that type of protein has increased in terms of per capita consumption. So we have a very versatile portfolio which allows us to adapt to the mix in terms of demand.  Whatever pass-through, whatever level of price we have to pass along, we will do that. Because you've seen how the economy has been, has sustained itself and how we have sustained ourselves because we will never subject ourselves to selling at a lower price than what we need to produce. So we will do whatever we -- as much as we can to adjust. But the truth is, we will work with the production that we have and the products that we have to meet the demands of our customers. With regard to warehousing, there has been a decrease, but not enough so to adjust to the current situation. So those levels should already be a certain level and should continue to decrease so that we have the balance I mentioned in a presentation when it comes to produce our margins. It's a very simple equation.  If the store has more, it has to sell more and producer margins go down. And when you narrow producer margins for a longer period of time, there is reduced possibility for him to store products at his warehouse. So in my opinion that is going to go down further and has to, because you reduce producers capacity for a long period of time with very narrow and depressed margins for a long period of time. So I do believe we still have this prospect for production based on the assumption I just talked about. Now about preference in market share. Honestly, I think these are two different beasts. What we want ultimately is to have people's preference because honestly, with regard to market share, we could just say just drop the price by 10% and we will gain a lot of market share. But is that when we want, really? What we want is to really have our customers really in love with our products and our service. Because our market share reflects mostly one factor, one main factor, which is if I change my margins in my price range to a lower one than my competitors will gain market share. But when it comes to preference, that's a completely different story because it involves many other factors, includes quality, service, specifications, packaging. So we're working on all of that. That's our main focus precisely so that we can generate customers desire and demand for our brands specifically.
Operator:  Our next question comes from Mr. Rodrigo Almeida from Bank Santander.
Rodrigo Almeida:  Good morning Lorival, Carlos and the entire BRF team that's on the call. I'd like to address this sort of post follow-on period. You've talked a little bit about your financials, but I wanted to understand a bit better what your plans are with regard to management, and what strategy do you guys have in mind to reduce your gross debt and your financial debt as well. How do you plan to tackle that? You showed your pro forma performance and pro forma leverage. In that sense, I wanted to understand a little bit better how you guys are working from a metrics perspective with your leverage for this year? Looking forward, what do you guys see, especially considering the more challenging situation as we've mentioned earlier, even in terms of cash-generation this year? Also I wanted to hear a little bit more about your capital allocation, considering that you've had this influx of cash? How can we think about that moving forward, especially in terms of organic growth and also more on what you said about Saudi Arabia and Banvit, what were the next steps that we could think about and what should be the next steps in terms of both organic and inorganic growth moving forward. Thank you.
Lorival Nogueira Luz: That was perfect, Rodrigo, I'll start with your second question and then I will turn the floor over to Carlos because we've talked a lot about that during our call on or follow-on offering. First of all, I think that the scenario this year, and Carlos could talk a little bit more about our prospects in terms of that, and we should work with an investment of about $4 billion this year. That's what we're working with currently. But again, we will constantly be looking at the opportunities that are presenting itself -- presenting themselves to us and the market that's presenting itself to us, so that we can really advance or slow down according to the situation considering the current balance that we're working with. The MOU that we signed is a document that states that together with PIF, we established a society 70, 30 in Saudi soil, 70% VRF and 30% PIF. So that we can be increasingly more embedded in the Saudi industry with local production and also the great distribution in warehousing that we have in the country. So these stocks are moving forward over the course of this first quarter. And we plan to really make headway in that transition and that transaction. And with that, I'll turn it over to Carlos, who will give you a little bit more of a detailed explanation.
Carlos Alberto Bezerra De Moura:  Good morning, Rodrigo, I hope you're all healthy and well, at Bradesco. As Lori said, our priority is to reduce our gross debt. And you've monitored how this has developed and how much this administration has been concerned about how inflation and the interest rate curve has affected our debt. So we went to the market and made the most of the increase in interest. We're trying to reduce our exposure to foreign exchange.
Sidney Rogerio Manzaro: We have our derivatives that are becoming increasingly more expensive, because of the hike in interest rates. So we're working on really shrinking that system of derivatives, we're also working on bilateral systems in Brazil. And according to how the market performs, we'll be able to analyze how the market does considering -- and analyze the tender offer considering the bonuses we will have. One maturing in the next few months and another maturing next year. So that's essentially the structure. We had a lot of people ran numbers during the course of our transaction, which came to 600 million being deducted from our financial debt.
Carlos Alberto Bezerra De Moura: But I'd like to say that we have a significant not to have a cash effect on this financial gain because of taxes, which translated into having a few tax credits. Now, in terms of our leverage in 2022, obviously we'll not go into details here, but it will all come down to the currency effect and how we will dose this cash flow is Lorival set, which comes down to having a coherent Capex. Capex that's in line with our strategy and also a sort of a alleviate, a more alleviated cash flow. So that in addition to the monetization of tax credits, which is something that we've done and has already generated over $1 million last year.
Sidney Rogerio Manzaro: We expect to navigate between two and two-and-a-half times in terms of leverage. That's probably what we will have, obviously, depending on how our CapEx and our investments oversea progress.
Operator: Our next question comes from Mr. Victor Saragiotto from Credit Suisse. Mr. Saragiotto, you have the floor.
Victor Saragiotto: Good morning, guys. Lorival said that the year has started on pretty much challenging terms as well, and that new adjustments should still or are still expected to occur. And over time, we've seen that those adjustments take a -- take some time. And one thing caught our eye, which was the trim and pork prices in the fourth quarter of the year, we talked with a few players and outgrowers. Obviously, they're buying pork at prices slightly lower. And we even heard from some of them, there's been negative pressure on process goods. I wanted to understand, how you guys are looking at this trend and processed food prices? And is there a tendency of a downward trend in these prices moving forward?
Lorival Nogueira Luz:  Good morning. Thank you for your question, Victor. And you're absolutely right in the point you're making. What happened last year, especially in the last quarter of the year, you have market prices that you can look at. It's a little bit of that effect. The industry and producers were ready and prepared for a larger volume, especially for experts to China mostly. As what we always say, if you don't export the local market, especially smaller players, including cooperatives will absorb that in the local market. When it comes to the local market, that has an impact on prices. But this plays into what I tried to say with regard to warehousing. You need adjustments. You need to adjust your supply to the existing demand so you have a temporary imbalance, which is what we saw and now you're trying to equalize that and balance that out considering the reality that you have with the demand.  So obviously, a few of these products that require a lot of raw material have also been pressured because the market uses them as a place to dump this pork raw material. So obviously this is something that's a short period of time that will mean for adjustment, but obviously that adjustment will take place. And again, this is part of what I mentioned early on when I talked about the challenges that we're facing because we will need to make that adjustment.
Operator:  Our next question comes from Mr. Lucas Ferreira from JP Morgan. Mr. Ferreira. Mr. Ferreira?
Lorival Nogueira Luz:  Mr. Lucas Ferreira, can you hear us? We have had a connection problem with Mr. Lucas, so our next question is from Mr. Ricardo Alves, with Morgan Stanley.
Ricardo Alves:  Good morning, Lorival, Carlos, and that whole BRF team. I hope you can hear me. Thank you for the call and your availability to answer questions. Now, I have two quick questions related to previous questions that were asked. First, about process goods. We are talking about this more challenging scenario. But when we look at the competition, maybe Q4 was a quarter that was a bit more aggressive in terms of prices? Or more discounts being offered? Or is this also something that is happening in January because of the inventory levels? So what is your performance in terms of process goods also considering the whole competitive environment? Now my second question about CapEx, Lorival mentioned $4 billion for 2022. So I just want to try and understand after your follow-on on offering, I believe you closed 2021 close to $4.7 million and I would imagine a more aggressive CapEx scenario now. So after the follow-on offering, did you postpone any project or is there a chance that you will speed up the implementation of any project in 2022? Thank you.
Sidney Rogerio Manzaro:  Thank you, Ricardo. I just heard a pet barking in the background. One of our consumers please, buy our products for your pet. Now about your CapEx, question 4.7. Yes. That's pretty much right. But in this 4.7, we are including the M&A of pet food that we performed. If we exclude that and focus on organic, that's very much in line with those $4 billion. So there's nothing that has been postponed or anything like that. It's all going according to plan.
Lorival Nogueira Luz: So we're making the adjustments that are aligned with our strategic plan. Now, I think Sidney can give you a bit more color on the market regarding processed goods.
Sidney Rogerio Manzaro:  Hello, Ricardo. Thank you for your question. I just want to add a comment to Lorival 's answer. We have swine products and this whole scenario that he talked about, which impacts process goods, especially sausages. This are products where the market is more spread and there is a larger number of players taking part in that market. So yes, there is an impact because of the pork  for process goods, especially so for sausages, which creates the price pressure because of the excess. offer, the excess supply that still being felt in January, but we'll probably go back to previous levels from now on.
Operator:  Now, let's go back to Mr. Lucas Ferreira from JPMorgan.
Lucas Ferreira: Good morning, everyone. I have two questions. Good morning, Lorival. First about the cost scenario, excluding grains. Can you tell us about freight, power? What are your expectations for the first and second quarter of 2021? Do you see some relief in the pressure on those two lines? And now Carlos, the Turkish lira has devaluated 60%. So a 60% depreciation, have you taken that into account? I think it was like a 40% depreciation of the Turkish lira from one quarter to another. So are you having that to take that into account on your results?
Sidney Rogerio Manzaro:  Thank you, Lucas. I will turn the floor over to Carlos and he can talk a bit more about those two subjects. Now when it comes to costs. When you see this, when we say there has been a slow down, it's not a drop in prices. You're running on a certain level, but there is no significant drop in prices. It's not like we're going back to prices like they were a few years ago. But let me turn the floor over to Carlos, he's going to talk about the Turkish lira and costs.
Carlos Alberto Bezerra De Moura:  Okay. Good morning everyone. Well, when it comes to costs; no, we don't see a downturn. We continue with this critical process, with our supply chain in product offers in the domestic and international markets, which exert pressure on our margins. We thought the main impact would be on the costs that came from commodities, but that's not so. It's coming and continuing because of the  grain costs. So what have we've been doing? The supply area, working together with the product area, industrial area, category area. They're doing process re-engineering, product value re-engineering. In order to capture benefits in specifications and that is associated, of course, to the scale the company which benefits from the volumes acquired. We have a preference in procurement and we can negotiate and we have a great storage capacity compared to other companies in the sector. So that has shown our resilience. But I want to emphasize that we're working on costs as well as expenses in our matrix -- management matrix. So these expenses have had a nominal decrease and they've reached the lowest historical level in the share of revenue, because we're very strict and managing our costs and expenses. And this is not married to one specific area. This is a culture we have at our company to have our costs under control. This makes all the difference for us to be competitive and flexible. Notes Sidney Micheli and eager when conducting national businesses now about the international businesses and the Turkish lira. Here, our company has receivables of exports in U.S. dollars. And we also have accounts payable of acquisition of inputs in U.S. dollars, namely grains. We have no debt in foreign currency in our businesses in Turkey. So our currency exposure as neutral and the impact on result is very mild. So when we consolidate the business compared to actual numbers, there has been an evaluation of the Brazilian real against the Turkish lira, which has had a mild effect on our balance sheet as you saw. And this effect will continue to be mild. There is no hiccups expected from this currency exposure. We control the currency exposure in Turkey just as we do in other parts of the globe.
Operator:  Our next question is by Thiago Botoluti(ph ) from Goldman Sachs.
Thiago Bortoluci:  Good morning everyone, Lorival, Carlos, and the whole BRF team. Thank you for this call and congratulations on your follow on offering. I would like to go back to previous issues that have already been addressed. Can you tell us about the Brazilian demand? We've seen results with negative volumes and a down turn in some of the products, a 2-digit decline in certain places. And we don't know whether you were ready to make the most of it in 2022. What are your expectations in terms of demands now for the coming year. And related to the capital structure, you gave us some pro - forma figures and leverage and you said that this would be a pathway to accelerate the investments. So within the context, is there like an M&A target you are interested in? These are my questions. Thank you very much.
Lorival Nogueira Luz:  Thank you, Thiago.
Carlos Alberto Bezerra De Moura: So these are two questions that strategically we cannot answer telling you if there is an M&A target. If we have anything in mind, it's unfortunately something that I cannot answer right now. But I can tell you, that we do have a strategy and we are constantly evaluating and considering the market conditions. What we have already announced is our agreement with PIR, that we're working on. And now, about Brazil before I turn the floor over to Sidney. He cannot give you precise information about our expectations and the strategic plan that we have regarding  processed and things like that. But he can give you a bit more details about the market.
Sidney Rogerio Manzaro:  Hello Thiago. Okay, let me go back to a point I addressed when answering Isabella's question. This is the hourglass effect that we see in the market. There is demand of both sides, and we are increasingly prepared to capture it to make the most of that. So there is some public information, we have a plant in  that is expanding with capacity for sausages, and we're also advancing in value added products with poultry, ready meals and pork. So, there is not one single behavior in the market. That's my take home message here. You have different perspectives depending on the context. As consumer may compare poultry and pork, and think that is a trade-down compared to beef. But compared to restaurants, that can be considered actually a trade up. So it's really important that we have a deep knowledge of the chain and especially of consumers, the more we understand the behavior of consumers and consumption situations that more. prepared we are with deal with these situations. And here, we have not only this deep knowledge, but we also have brands that talk to all consumers and all consumptions situations. That makes us more and more resilient to market oscillations or fluctuations.
Operator:  This is our last question now. The questions that have not been answered today will be answered by the BRF team later on. So the last question is by Gustavo Triano from ITO BBA.
Gustavo Triano:  Good morning, Lorival, Carlos. Good morning, everyone. This question is more related to the international scenario and the geopolitical tensions that we're seeing. Are there opportunities and challenges that may come from possible sanction that may be put in place and how can we look at this in the P&L of the companies, especially considering the relevance of Ukraine in the global trade. Ukraine is an important chicken exporter to the Middle East. So have you seen changes in the export flows to those regions and are there opportunities that may arise because of that, especially considering the supply of chicken in these operations where you also operate?
Lorival Nogueira Luz:  Thank you, Gustavo. That's an excellent point and a very topical point, something that is unfolding right now as we speak. So the first thing I'd like to say is that we hope that the situation doesn't get more severe. We hope that the situation may be resolved with dialogue peacefully without any type of actual conflict. So although the scenario may bring us and present us with opportunities,
Sidney Rogerio Manzaro: I hope that the opportunities will come from a different situation and not from a possible war there. This is just my personal wish. Now, you mentioned something important. Ukraine is a chicken exporter today. And the chicken feed comes from sunflower seeds, not necessarily corn, so yes, there is an impact. And there might be other limitations in the flow of transportation, there might be some economic, financial sanctions that are put in place. So we're keeping an eye on this. We have a team there, Micheli and Edgar, they're monitoring this. We have operations in Turkey that are being monitored when it comes to supply and exports. So yes, that's a topical issue. I don't want to say that our company can benefit from this because that's not what we would like to happen in a situation like this. But of course we are monitoring the whole situation with an eye on all of those aspects. One of them is chicken production that may be affected indeed.
Lorival Nogueira Luz: And we'll also have a matter of Russia with sanctions, and gas, and oil supply. So there is a complex scenario involving these countries. We are monitoring that and we'll try as much as we can to supply the regions affected for any reason. So we're working hard to be able to supply to all of those regions. But we'll see how things unfold. And then, we'll be able to give you further details about that.
Operator:  Ladies and gentlemen. Thank you very much for all of your questions. I would like to ask Mr. Lorival to give us his final remarks so that we can close this earnings conference call.
Lorival Nogueira Luz:  Thank you so much for joining us in our earnings release conference call. I would like to thank our shareholders and our board for all the support. And thank all of our employees for their efforts, their commitments, as well as our suppliers and the trust of our consumers and clients. Thank you very much. We'll see you again when we release our earnings of the first quarter of 2022. Thank you very much.